Operator: Greetings. Welcome to Pagaya Technologies Ltd.'s Fourth Quarter Full Year 2025 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. I will now turn the conference over to Josh Fagen, Head of Investor Relations and COO of Finance. Thank you. You may begin.
Josh Fagen: Thank you, and welcome to Pagaya Technologies Ltd.'s fourth quarter and Full Year 2025 Earnings Conference Call. Joining me today to talk about our business and results are Gal Krubiner, Chief Executive Officer of Pagaya Technologies Ltd., Sanjiv Das, President, and Evangelos Perros, Chief Financial Officer. You can find the materials that accompany our prepared remarks and a replay of today's webcast on the Investor Relations section of our website at investor.pagaya.com. Our remarks today will include forward-looking statements that are based on our current expectations and forecasts with respect to, among other things, our operations and financial performance, including our financial outlook for the first quarter and full year of 2026. Our actual results may differ materially from those contemplated by those forward-looking statements. Factors that could cause these results to differ materially from our expectations include, but are not limited to, those risks described in today's press release and our filings with the US Securities and Exchange Commission. We undertake no obligation to update any forward-looking statements as a result of new information or future events. Please refer to the documents we file from time to time with the SEC, including our 10-K, 10-Q, and other reports for a more detailed discussion of these factors. Additionally, non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margin, adjusted net income, fee revenue less production costs, or FRLPC, FRLPC percentage of network volume, and core operating expenses will be discussed on the call. Reconciliations to the most directly comparable GAAP financial measures are available to the extent available without unreasonable efforts in our earnings release and other materials which are posted on our Investor Relations website. We encourage you to review the shareholder letter, which was furnished with the SEC on Form 8-K today for detailed commentary on our business and performance in conjunction with the accompanying earnings supplement and press release. With that, let me turn the call over to Gal.
Gal Krubiner: Thank you, and welcome, everyone. 2025 was a hallmark year for Pagaya Technologies Ltd. In Q4, we achieved $34 million of GAAP net income and $80 million in operating cash flow. In the beginning of 2024, we set the goal to become GAAP net income and cash flow positive, which we continue to accelerate in the fourth quarter this year. For the full year, we achieved revenues of $1.3 billion, up 26% year over year, adjusted EBITDA of $371 million, up 76% year over year, and GAAP net income of $81 million, up $483 million versus 2024 with an EPS of $0.93. More importantly, these results and achievements were the outcome of growing and investing in our business across verticals, further expansion into first look and second look loans, and optimizing our unit economics and balance sheets. Before discussing our results and outlook, it is important to recall that 2025 was a year of discipline for Pagaya Technologies Ltd. We fine-tuned the foundations of our business and approach towards risk management and underwriting. In turn, this drives further consistency for our investors as we continue to serve our lending partner needs. All of that while being an enterprise focused on sustainable through-the-cycle growth. This discipline drove us to proactively take action later in the fourth quarter in face of persistent consumer uncertainty and trends. While our data does not indicate consumer deterioration, we have the privilege of being able to pivot our production to focus on prudent and disciplined credit performance across asset classes remain in line with our expectations. However, we pulled back our exposure to higher risk and less profitable credit deals which have potential for higher relative losses in a downside scenario. As we mature as a company, we are shifting more and more of our focus to achieve the best long-term outcomes for our stakeholders, and to avoid any downside that could arise from potential tail risks. We have built a business that is highly scalable, with key inflection points in our operating and capital structure that results in standalone operating efficiencies. We have a robust list of onboarding partners and a healthy funding position. As important, with our data moat, leadership, and commercial momentum, we are positioned to continue to take share in this vast market. A market that Pagaya Technologies Ltd. creates and one that Pagaya Technologies Ltd. leads in an increasingly profitable manner. Let me now talk about the long-term fundamentals of our business. It is clear that we have momentum and are executing on all of our business. As we have talked about throughout 2025, future growth will continue to come from the combination of recently onboarded partners, and deepening our existing relationships. Our pipeline remains robust, a testament to our product suites becoming industry standards. In the latest quarter and the months that followed, we onboarded Achieve GLS and a leading fast-growing buy now pay later provider in North America. And we expect to announce additional partner launches in the coming quarters. GLS or Global Lending Services is a leading auto finance provider that offers financial solutions to almost 20,000 franchises and independent dealerships nationwide. As I look ahead, I'm excited about more consumer lenders joining the Pagaya Technologies Ltd. network, further highlighting the potential and value added of our enterprise platform. For our existing partners, we continue to innovate meeting our partners where they are to drive higher partner usage, certification, and engagement. For instance, LendingClub recently adopted our marketing affiliate offering and became a multiproduct partner for us. We expect to end the first quarter with multiple large personal loan partners fully onboarded into our prescreen offering. Our earning power and cash flow generation will become more robust as partners continue maturing into multiproduct relationships. At the same time, we continue to institutionalize and diversify our business through long-term agreements with fee and application flow commitments, creating additional partner alignment and business stabilization. This quarter, we entered into long-term agreements with two of our largest partners in auto and personal loans. While we were to continue growing our application volume, from new and existing partners, our decision to reduce our exposure is firmly grounded in portfolio proposition, rather than growing just for the sake of growth. In fact, we are comfortable having a lower conversion rate when it is appropriate to reduce the likelihood of adverse outcomes. As a maturing business, a core pillar of our culture is to deliberately balance long-term growth and profitability against short-term metrics. Our focus on top-of-funnel growth and expansion is designed for the future, as we prioritize building an enterprise platform for the long term. As a B2B2C enabler, our partners depend on Pagaya Technologies Ltd. to manage the business for long-term strengths, and stability. And they appreciate our ability and willingness to make such proactive risk-based decisions. Turning to funding. We continue to leverage favorable market dynamics to create longer-term committed capital that enhances our capacity while reducing exposure to funding volatility. This year, and in the months that followed, we made strides in diversifying our funding sources with forward flow arrangements across all three core asset classes, personal loan, auto loans, and point of sale. Building on this momentum, we further enhanced our funding stability with the expansion into revolving ABSs across point of sale and personal loan, creating almost $3 billion of revolving capacity. As we enter 2026, our guidance and business plan are driven first and foremost by the disciplined risk framework we have developed over the years. Our accomplishments in 2024 and 2025 set us up for efficient and durable growth. We stabilized the business as we scaled, optimized our operating costs, and balance sheet, and diversified our sources of revenues and funding. Going forward, we are in the right place for balanced efficient growth. In 2026, investors should expect more measured volume thus revenue growth, as we prioritize reducing credit exposure over our market share gains at the moment. Our strategy reflects a business that is in control of its long-term growth trajectory while deploying measured risks. With our ten-year anniversary approaching, we believe this strategy reflects a company that is building an enduring platform that maximizes value creation over time. We are building a B2B2C platform. There will be a cornerstone of the US financial ecosystem that should be embedded within every US consumer lender. Leveraging intelligent AI quant decisioning as its core, our platform will operate wherever our partners are through the cycle while powering products that meet the needs of our customers. The first decade proves our model and secured our place in the market. The next decade is about scaling that foundation with greater ambition, durability, and impact.
Sanjiv Das: Thank you, Gal. As we wrap up the year with our fourth consecutive quarter of GAAP net income profitability and look ahead, our growth strategy is clear. Continue to build a sustainable and profitable business, that is increasingly embedded in the US financial ecosystem, Pagaya Technologies Ltd.'s growth continues to be driven by institutional-grade scaling of existing partner relationships as well as new partner additions. In fact, we just added three new partners to our platform. Achieve, GLS or Global Lending Services, and a leading fast-growth buy now pay later provider in North America. Our onboarding process is becoming industrial grade. Minimizing partner resource requirements. All new partners have a prebuilt API integration for the Pagaya Technologies Ltd. product suite. Prebuilt product APIs along with an eighteen-month joint roadmap will enable accelerated scaling. We also established long-term agreements with all of them that encompass volumes, fees, and all other protections. Our onboarding pipeline remains the busiest in Pagaya Technologies Ltd.'s history with demand and traction from leading lenders in the country across banks, fintechs, and other lenders. In fact, a lot of these leading lenders are proactively engaging with us on all which is a testament to Pagaya Technologies Ltd.'s relevance and strong product-driven value proposition. We are planning to announce some new names in the coming quarters. With our existing partners, we've been consistently delivering and diversifying across products, including the direct marketing engine, affiliate optimizer engine, and dual look. This diversification provides Pagaya Technologies Ltd. with new volume beyond decline monetization, increased value and stickiness with existing lending partners, and most importantly, provides future growth for Pagaya Technologies Ltd. without expanding our own risk appetite. Existing partners continue to actively adopt our products. In fact, our largest existing partners signed definitive term sheets and adopted the direct marketing engine after a series of tests. And are now scaling with us across direct mail and email prescreen campaigns. Within our affiliate optimizer engine, we recently onboarded LendingClub onto Credit Karma where they will be presenting personal loan offers to consumers in partnership with Pagaya Technologies Ltd. Additionally, we are currently expanding our affiliate optimizer engine to include Experian's activate platform with the launch of our first partner and several more in the onboarding queue. Lastly, we signed several long-term agreements with leading partners to establish commitments across application flow size, quality, and controls to provide further visibility through the cycle. Turning to funding. We continue to diversify from prefunded ABS funding structure to include more committed capital structures that reduce our exposure to funding volatility. In the last few months, we have expanded our forward flow agreements into all three core asset classes. Including inaugural agreements with Castlelake and SoundPoint in auto and point of sale respectively. This broadens our Castlelake agreement into both personal loans and auto. We continue to innovate across our various ABS shelves. We introduced revolving structures, first in POS, and then in personal loans. We inked our inaugural POS ABS deal and our inaugural paid revolving ABS with twenty-six North which gives us a more diverse set of financing options and more visibility hence, greater consistency in our funding construct in the face of potential capital market cyclicality. I'd like to reflect broadly on the capital markets environment. Which remains very supportive for Pagaya Technologies Ltd. We see continued strong demand from across insurance funds, along with traditional asset managers while we are witnessing a higher level of rationality than we saw in 2025, from private credit. Overall, we would view the current environment as more of a steady state with healthy demand and execution particularly for quality assets. Turning to credit performance, we remain disciplined in our underwriting our core focus centered around gaining access to more high-quality flow from existing and new partners. We continue to leverage our unique ability to assess risk in real-time. Based on the data from over 30 lenders across three asset classes with agile decision-making. We continue to prioritize prudent risk management. While credit risk performance of our portfolio remains in line with expectations, we took proactive steps late in the year to reduce exposure to select higher volatility segments. These actions had a direct impact on our network volumes revenues, and profit in the fourth quarter. Our decision was primarily driven by the changes in risk appetite that we observed across multiple lending partners of ours in light of market uncertainty. As we discussed in our outlook, the impact of these actions will restrain growth to a measured degree in the first quarter. We expect a ramp in growth through the year due to several factors that we will discuss. Including the onboarding of new partners and continued penetration into existing relationships. Before I hand the call to EP for a detailed review of our financial performance and outlook, I'd like to reflect on the successes we've had across the business this past year. In summary, 2025 was a year of innovation, optimization, and profitability across all aspects of the business, laying the groundwork for growth in 2026 and the years beyond.
Evangelos Perros: Thanks, Sanjiv. I will start with the big picture. In 2025, we achieved several important milestones that position Pagaya Technologies Ltd. up for sustainable profitable growth. Over the last few years, we have been deliberately reshaping this company, strengthening the foundation tightening the operating model, improving the capital structure, and most importantly, building a much more resilient scalable, and differentiated technology platform in consumer lending. In this past year, we made sustained investment in our data and risk infrastructure combined with intentional decisions around risk management balance sheet optimization, and how we grow. The cumulative result of all that work became evident in the financials as we're exiting 2025 with four consecutive quarters of GAAP profitability. As it relates to our 2026 growth outlook, it reflects our long-term objective to grow the platform, while remaining disciplined and adaptive in how we manage risk. And even more so in an uncertain environment. We actively manage the business as a portfolio of products partners, and risk bands adjusting exposure as conditions evolve. When uncertainty increases, the appropriate response is to reduce exposure to higher risk segments. When conditions improve, we will reassess and reallocate accordingly. We remain focused on growth from increased product usage penetration and new partners. Let me walk through the numbers. For the full year 2025, we delivered $1.3 billion of revenue, up 26% year over year, $512 million of FRLPC, also up 26%, $371 million of adjusted EBITDA, up 76% and $81 million of GAAP net income representing a $483 million improvement versus last year. This reflects meaningful progress in profitability and operating leverage showing up at scale. For the fourth quarter specifically, revenue was $335 million FRAPC was $131 million, and adjusted EBITDA was $98 million. Representing a 29% margin. We reported GAAP net income of $34 million compared to a loss of $238 million a year ago. FR EPC as a percentage of network volume was 4.9% demonstrating strong monetization while remaining disciplined on risk. Turning to network volume, we reported $2.7 billion for the fourth quarter up 3% year over year. Personal loan, auto and POS volume combined grew at a double-digit rate and was partially offset by zero SFR volume in the quarter. Personal loans remain our largest vertical at approximately 65% of total volume and grew 10% year over year. Auto and POS represented 19% and 16% of quarterly network volume, respectively. For the full year, network volume was $10.5 billion, up 9%. Excluding SFR, volume growth was substantially higher. Late in the quarter, we proactively tightened production in certain areas that remain profitable, but could exhibit higher variability of credit outcomes and maybe the first to show deterioration in a downside scenario. This was a dynamic reallocation within the portfolio away from higher risk segments with a plan to be redeployed in volume from new application flow and new products. And therefore, more balanced risk. Given our visibility into new partner onboarding, new partner and product monetization, and the operating leverage in the business, we are well positioned to make these adjustments. The decision reduced fourth quarter volume by approximately $100 million to $150 million without impacting the quarter's profitability targets. When risk moves and persists, we will adjust. We will not stretch. We are dynamic. We calibrate and continue compounding returns. Fourth quarter total revenue and other income was $335 million, up 20% year over year. Fee revenue grew 16% to $321 million and made up 96% of total revenue. Interest and investment income grew to $14 million Importantly, revenue growth continued to outpace volume growth underscoring two key trends. Improved monetization and higher revenue and profit per unit of volume and risk. Full year revenue grew 26% and interest and investment income reached approximately $40 million. FRLPC in the fourth quarter was $131 million up 12% year over year, again meaningfully outpacing volume growth. FR LPC margin expanded to 4.9% driven primarily by partner and funding mix. For the full year, FRAPC totaled $512 million also 4.9% of network volume, up 70 basis points from 2024. I want to spend a moment on a subset of fee revenue, fees from capital markets execution. This is an area where we have progressed in a very intentional way. These fees were a negative $6 million for the quarter and a negative $21 million for the year, reflecting the pricing agreements with our forward flow partners and the risk-adjusted pricing of our ABS transactions. Specifically on ABS, negative fees reflect additional cash contribution we put in our securitization structures in addition to our purchase of securities reflected in our investments in loans and securities. These cash contributions are accounted for as an upfront reduction in fee revenues and provide additional support against potential future credit loss While this does not change the underlying credit performance of the asset, it reduces downside exposure and earnings volatility associated with investments we hold on our balance sheet. Most importantly though, it also creates a clear and a tighter risk boundary for our investors. To put this into context, for every $1 billion of ABS funding, we are required to contribute a minimum of approximately $50 million of capital, i.e. 5% in line with risk retention rules. Illustratively, a 100 basis points discount in ABS pricing translates into roughly $10 million of lower upfront fees but also implies $10 million less in future impairments or up to $10 million more income, all else being equal. Now let's talk about what we view as a differentiated feature of the business, our operating leverage. Adjusted EBITDA in the fourth quarter was $98 million up 53% year over year with a 29% margin. Core operating expenses declined to 36% of FRLPC a 13% improvement year over year. Incremental EBITDA margin exceeded 100% meaning nearly every incremental dollar of FRLPC flowed through to EBITDA. The modest miss versus guidance was driven by the late quarter production adjustment. For the full year, adjusted EBITDA was $371 million, up 76% and margin expanded to 28.5% up 800 basis points. Turning to GAAP net income, we reported a record $34 million our fourth consecutive quarter of profitability compared to a net loss of $238 million a year ago. Fourth quarter GAAP net income included the positive impact of $9 million from the extinguishment of corporate notes and a nonrecurring tax-related benefit. For the full year, GAAP net income was $81 million compared to a $401 million loss in 2024. This largely reflects higher fee revenue alongside lower operating expenses, interest expense and impairments resulting in a 10% margin in the fourth quarter compared to a 6% last quarter and a negative 85% a year ago. Credit related fair value adjustments were $107 million for the year. Adjusted net income was $275 million. Diving into credit performance, results across personal loan, auto and point of sale remain in line with and within our risk tolerance. Demand for our assets remains strong as evidenced by new forward flow agreement our first ortho certificate sale since 2021, and the demand that we're seeing in the first few weeks of the year. 2025 vintages represent a more normalized product compared to 2024, particularly given the lower cost of funding from investors relative to prior years. As it relates to new production, rating agencies also validated that cumulative net losses are expected to be lower relative to prior production after reflecting our recent risk actions. Let's go to the specifics. Personal loan CNLs for the 2024 through the 2025 vintages are running 30-40% better than 2021 peak levels. Auto CNLs are running 50 to 70% better than 2022 vintages. While auto 60 plus delinquencies are higher than '24, following the year's pullback and broadly in line with 2023 levels, recoveries enroll rates are better than both 2023 and 2024, pointing to a normalized level of expected losses. For point of sale, credit rents remain stable and in line with expectations. As I mentioned earlier, realized credit performance remains in line with expectations. And our late quarter actions reflect increased uncertainty rather than observed deterioration. When uncertainty increases, even if losses have not materialized, the platform is designed to reduce exposure to the tails of the distribution. When conditions improve, we will adjust again. Palting remains robust. In the fourth quarter, issued $2 billion in our ABS program across seven transactions. Last week, we closed an $800 million ABS deal that was oversubscribed even after upside from an initial size of $600 million. With the recent announcement of our inaugural POS forward flow with SoundPoint Capital, we now have forward flow agreements across all three asset classes. We also closed our first $350 million revolving personal loan ABS with twenty-six North and combined with our two point of sale ABS revolvers, we now have about $3 billion of revolving capacity from those three transactions. Turning to the balance sheet, asset quality and mix have improved materially over the past twenty-four months, providing increased liquidity and flexibility. We ended the quarter with approximately $288 million in cash and cash equivalents, up $62 million from a year ago, and $945 million in investments, loan, and securities. As we have stated over the past year, we're leveraging our improved liquidity to make opportunistic investments to lower our cost of funding and increase profitability. In the fourth quarter, new investments in loan and securities were about $271 million of which $47 million was opportunistic in the form of ABS bonds. And we received $170 million in return of capital from prior deals. In December, we also repurchased $7 million of our corporate notes at an approximate 12.5% discount to par consistent with our stated objective of opportunistic capital deployment. Last week, we repurchased an additional $7 million of our corporate notes. Throughout 2025, discretionary investments in ABS structures, all in the form of rated loans, totaled approximately $171 million representing about 27% of the total investments in loan and securities. Combined with cash, we now hold a healthy liquidity position under a wide range of scenarios. Our objective is no longer just liquidity. We are maturing and increasingly pursuing optionality. Optionality allows us to be conservative on credit opportunistic on capital deployment, and patient on growth. In the fourth quarter, the fair value of the investment portfolio was adjusted down by approximately $50 million and we added $97 million of new investments net of pay downs. Our guidance continues to reflect $100 to $150 million of rolling twelve-month forward credit-related impairments. I want to remind everyone that this is not a forecast of losses, it's a governance on risk embedded in our guidance It reflects uncertainty and remains consistent with prior guidance. Let me close with our 2026 outlook. We remain cautious in the near term given persistent macro and credit uncertainty. We expect volume growth throughout the year driven by new application flow new partners, and increased penetration of our products. FR LPC margin is expected to be between 4-5% for the year and to revert lower within that range from current levels as a result of continued expansion in POS, contribution from new partners, and our funding mix. As just mentioned, guidance reflects the credit-related impairments, if any, of $100-150 million. Both first quarter and full year guidance reflect the full impact of last quarter's exit rate volume reduction, of approximately $100 to $150 million per month. Illustratively, the midpoint of that range represents approximately $375 million first quarter impact and $1.5 billion on a full year baseline essentially assuming current uncertainty persists, and leading to consumer and performance deterioration. If uncertainty recedes, we will adjust accordingly and swiftly. This is an important point, so let me explain. We are exiting the year with $10.8 billion of fourth quarter annualized volume. Deliberately shrinking high-risk volume by $1.5 billion on an annualized basis while still delivering year-over-year volume growth. The reduction in certain credit tiers and new volume growth are not contradictory. There are two sides of the same optimization process. For 2026, we expect network volume in the range of $2.5 to $2.7 billion, total revenue and other income in the range of $315 million to $335 million and adjusted EBITDA in the range of $80 million to $95 million We expect GAAP net income for the quarter of $15 million to $35 million For the full year 2026, we are expecting network volume in the range of $11.25 to $13 billion total revenue and other income in the range of $1.4 billion to $1.575 billion and adjusted EBITDA in the range of $410 million to $460 million We expect GAAP net income for the year to range from $100 to $150 million. With that, let me turn it back to the operator for questions.
Operator: Thank you. We will now be conducting a question and answer session. A confirmation tone will indicate your line is in the question queue. You may press star 2 if you would like to remove your question from the queue. And for participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Our first question is from John Hecht with Jefferies. Please proceed.
John Hecht: Good morning, guys, and thanks for taking my questions. Maybe just go a little deeper, you know, in this concept of moving away from variable outcomes. Is it pricing in the market? Are you seeing something change with respect to payment trends? Or is this, you know, is it related to certain channel partners or certain types of products? Maybe just another layer of details on this.
Gal Krubiner: Definitely, John. Appreciate the question. So before I'm going into the market dynamics, I want just to start with reiterating that that message that we gave from Pagaya Technologies Ltd.'s perspective has been the same for the last year. That we will always prioritize prudent risk management over short-term growth. And that principle that we have it you drew call it a year, a year and a half back, is now fully embedded in the way we run the company. Now the main reason for that is that we are a different type of animal. And we are not like many consumer finance platforms, that rely on marketing spend to generate volume. We don't need to grow at any cost to justify our expense base. And this structural advantage is obviously giving us more flexibility to be disciplined, especially when we see early signs of different market softness. Now when you think about that and the data we collect, it's really come to the core strengths of our platform, which is the ability to remove what we describe as tail risk or the reliability outcomes, as you pointed out, in real-time. Through the fact that we see signals across 30 plus different three asset classes, that are a lot of data that allows us to be proactive rather than to be reactive. Now the first point I would point out to your question is the market dynamics. So from a market perspective, there is just a lot of volatility. You don't need to look very hard to see that in the last period, mainly since Q4, the amount of volatility and declining rationality that we have seen has just reached a new level. Financial markets are demonstrating much volatility driven by geopolitical, private credit. You see notable shifts in sentiment. And despite the fact that the consumer performance in our production remains strong, and the ABS market are functioning well, it's definitely giving you a pause as a risk manager to ask the question of, like, what's your risk appetite and where you wanna be? Now, as I mentioned, the consumer behavior data front, we don't see a deterioration, so nothing on the CNL or the CPR. And, therefore, our 2026 outlook of the impact of credit-related impairments, if any, is in line with our 2025 guide, which is the $100 to $150 million. We did see a clear shift in our partner behavior. Several partners have moved away from expansion to cautious as they have progressed. And the early signal is exactly what our operating model is designed to capture. If you will talk with our lenders, call it Q1, Q2 last year, everyone will tell you that yeah, this is a year of going very strongly, aggressively growing 40, 50%, When you spoke with the same folks, by the end of the year, the posture the understanding of the situation was much more balanced. And as we saw that, we decide to take even one step further and to be what we call ahead of the curve. Now the way we operate and the way we do it, we do it very quickly and swiftly. Because of the technology agile advantage that we have, the fact that we can do these things real-time, so literally a decision in the middle to late of Q4, can be related to all of that, and that's becoming our basis as we think about 2026. And EP will talk a little bit more about how we think about the guidance in that respect. I think before we close the question, I just wanna emphasize that from an enterprise progression, execution perspective, what the team has done and is planning for 2026 is really exceptional. We And we are becoming a better Pagaya Technologies Ltd., not just a bigger one. So think about it that only in Q4, we added forward flow in two new asset classes, included the revolver capacity in personal loan, and onboarded two more partners. So when I think about it, from a CEO perspective, and frankly, I think you should think about it too, is that I'm very pleased with the team outcome despite the short-term reduction in risk decision that is trying very hard to avoid with any potential of downside because of a tail risk. And when I'm looking ahead on 2026, remain very focused about executing on the things we can influence in our long-term structure which is expanding our partner network, deepening our existing relationships, and proactively cutting off tail risk rather than chasing short-term volume. So to end that part, I just wanna leave you with two small nits. The first one, the fact that we have been more conservative is obviously retaining our ability to scale quickly, which is why our guide range is intentionally wide. And the second is that even in what we describe as volatile environment, the we don't wanna be over risk on, we expect to deliver a meaningful GAAP net income profitability of over $100 million in 2026. So in other words, our entire 2026 guidance range especially assume current uncertainty persists, and lead to consumer and performance deterioration that we are kind of, like, taking as part of our plan. So if uncertainty recedes, we will definitely adjust accordingly and swiftly.
Evangelos Perros: Yeah. And maybe, I'll jump in so as we know to try this this action translates somewhere between $100 million and $150 million volume cut in the fourth quarter. So effectively, that's a $1.5 billion of volume into 2026. And remember, we're more than offsetting that with new with the volume from new and new products. So, effectively, what we're doing is we're replacing higher credit risk volume with volume from new products and new partners that come in as a much more balanced risk. And if you think about I'm sure you're wondering, like, okay. To jump ahead, what's next for 2026? What does that mean for the guidance? What needs to happen for that to change? I would say, you know, these reflect we we are assuming this decision does not reverse. For purpose of our guidance in 2026. And, if we are right, we would not be chasing our tail for the year. And if we're wrong, will reverse. And in that case, we would have left some money on the table for a few quarters. So something has to really dramatically change really in 2020 to go below, the guidance that we have provided. The other thing I want to point out, though, and to close the question is, just just think about in the long term, there is no real impact in the long term of the business. We're still looking at the 15-20% growth of this business, especially if you start thinking about the annualization of the new volume that comes 2027 into 2028. And the last thing is obviously to keep in mind and let that sink in, is this is still a business that's generating a $100 million plus of GAAP net even in that scenario.
John Hecht: Okay. And then your follow-up question, which I think is somewhat similar to the last question in terms of where your focus is. It seems like there's more commentary about being focused on volume outside of decline monetization. Maybe talk about what products might have, like, increased momentum there and do the economics of those transactions differ from the decline monetization?
Sanjiv Das: Sure, John. I'll take it. This is Sanjiv. Absolutely, I think you got it you hit the nail on its head with your question. So essentially, what's diversifying our products into the direct marketing engine that we've talked about before. We talked about the affiliate optimizer engine before. Of course, dual or concurrent look in auto where we look at loans at the same time that our partners do essentially first look. The dynamics of the direct marketing engine where we essentially help our partners grow their originations is very, very strong and very positive. And the performance is also substantially better. Same with the Affiliate Optimizer engine. We've essentially a business that has about a third of its dependency on Credit Karma and Experian continues to grow very, very strongly similar to what credit card businesses do. We are doing the same thing in personal loans. And we are substantially improving our partner presence with our existing partners in both of those both of those platforms. So that is something that has done extremely well for us. This is where the shift in the business is happening. And this is exactly where we are we are emphasizing that because of because of the performance of these products, the economics in these are substantially better. Than what we have traditionally provided because of better risk performance and better ability to charge better economics. So that's something that we definitely want to talk about. We have, as you know, 31 existing partners. Our top five partners are already on these new products. We have signed agreements on our prescreen product, which is our direct marketing product. As well as agreements on Credit Karma and the affiliate channels and we are starting to increase our our dual look performance very substantially. I do wanna emphasize one other thing that is extremely important, which is that we have also onboarded a record number of new partners. Carl talked about two that are onboarding right now. There's a third that's in process. And I fully expect that by the end of the second quarter, we will have onboarded maybe seven, potentially eight new partners, which will be like a record for Pagaya Technologies Ltd. What EP, Gal, and I are trying to do is emphasize is that we are focusing more on the shift in the business our existing 31 lenders to more profitable partners. We're also focusing substantially more on getting new partners, essentially demonstrating that we are becoming part of the financial ecosystem in US consumer lending, and we are managing the risk in a very thoughtful, responsible way as a growing franchise in the long term.
John Hecht: Great. Thank you very much.
Operator: Our next question is from Kyle Joseph with Stephens. Please proceed.
Kyle Joseph: Hey, good morning, guys. Thanks for taking my questions. Been a lot of headlines on private credit and the alts recently. Just wanted to get you guys gave an update on the funding side, of business, but, you know, how you're thinking about funding in into your 'twenty-six outlook given all the headlines we've seen in that world recently? Thanks.
Evangelos Perros: Yes. Thanks, Kyle. Thanks for the question. I'll take it. I mean, look, the demand for our product and production is very robust. Look at Q4, a couple of the things that we announced, you know, a new deal with twenty-six North, which combined with the post deals generates more than $3 billion of capacity across these two products from in in from the revolver structure of these, the sale of the certificate in auto, new forward flows in auto, and POS, the sale of the certificate that we set on OWS. So generally very strong demand and validated by the execution that we're delivering for our investors. What I would say is if you step back, 2025 was a year where you had the very frothy sort of private credit market deploying capital. And now it's becoming a little bit more normal and much more disciplined and we're actually benefiting from that. I take it I would take it a step further and say that some of the actions that we took is actually fueling more demand for our product and production You look at the last ABS deal that we did a few days ago, market with $600 million of size. And it got upsized, by 30% and still oversubscribed. So I think what you see is the platforms that have a very robust and very diversified set of investors, working that they work with, like Pagaya Technologies Ltd., we're benefiting from all of this. We'll continue to obviously, continue to try and diversify our funding further. I know that is on our pipeline. So I think we feel very good about the funding environment relative to our positioning in the marketplace.
Gal Krubiner: And maybe one thing to add is that a lot of the colleagues around, which obviously, impacting this the full funding world, but, like, it's much more around the corporate side of the world. And specifically around SaaS, etcetera, and companies that have been in the sphere of trying to grab market share there. I think on the consumer side, which is a byproduct of that, but, like, you don't see that level of volatility or or or kind of, like, changes in the last quarter, but it is calling for everything to be.
Kyle Joseph: Great. Thank you. And then just a just a quick follow-up, a a modeling question. For you. On on the impairment side of things, you know, given the underwriting changes you guys have made, you know, what what sort of level should we expect, you know, to get to your your GAAP EPS guidance for '26? Thanks.
Evangelos Perros: Yes. Thanks. No change on that. We're still guiding to the call it under scenario in our guidance of a $100 million to $150 million range for the year. Same as it was in 2025. So no changes there, given the, ongoing credit performance.
Kyle Joseph: Great. Thanks for taking my questions.
Operator: Our next question is from Hal Ghosh with B. Riley Securities. Please proceed.
Hal Ghosh: Hey. Thank you, guys. Got a question. Yeah. It's it's a bit counterintuitive given the macro trends we've seen. Over the year with falling inflation. Rates coming down, job market generally good, And I think EP mentioned, hey. You know? Your action in the last quarter was based on increased uncertainty not an increase in in credit losses. So just wanted to you know, could you give us any more qualitative or quantitative color on what you saw your partners doing in in in your in your response. It it just seemed a little counterintuitive. It seems like things are going in the consumer's direction to be better credits. And this is just a little bit it's a little bit need a little more flushing out. Thanks.
Sanjiv Das: Hello. Hi. I think it's a it's a great observation. In fact, those are some of the countervailing forces that we had in our mind as well. At the end of Q4. On one hand, the macro was what it was in terms of inflation and rates coming down. As you pointed out, on the other hand, we're observing very specifically from our 31 lending partner platform was some of the partners that had been talking about credit expansion in the middle of the year were feeling less certain about credit expansion by the third, fourth, fourth, so the the sheer uncertainty in the market. And by that, as Gal outlined in his his opening comments, there's clearly know, geopolitical uncertainty, which was causing some uncertainty in the financial markets. There was there was some stuff going on at the at the tail end of certain certain businesses. Certain markets. And so we felt that the most responsible thing for us to do, and and that's the beauty of being a B2B2C market is that in some ways, we are shielded from the c. The b that's between the c and us responds or gives us signals that based on which we were able to take actions at what we thought would be the most marginal risk tier in the business. And it is this theme of uncertainty in the potent potential uncertainty in the credit markets that drives us to think, that we should be responsible and prudent rather than aggressive And but, you know, having said that, our ability to scale and be nimble is extremely high. So if things change in the market, which could change I mean, rates could change, the market could change by the second half of the year, But we all we need to do is basically prudently turn that back on And that's just the reason why our guidance range is is wide. But having said that, we as a management team have very, very high conviction that we will deliver profitable volumes, which is why our gas net income number, it will get. Don't even add anything to it. Or It's it's
Gal Krubiner: I think the new one. Okay. One one point to take in mind, like, when you see losses, it's a little bit too late. And when you are taking a proactive before, that the way to be disciplined. So, like, you don't need always to look on the duration of your outcomes on the CNL to say, now I need to take action, and I think again, it's given where we stand and what we see. It's enough to actually say, you know what? I'm gonna be more conservative on that part of the spectrum, and that's it.
Hal Ghosh: Okay. And unlike maybe 2023 when you're still building the relationships with the with the lending partners, Your your pullback in in the in some of those riskier tiers, that you know, your your your lending partners were were okay with that as well. You know, there wasn't a a relationship issue. Because I think was key in 2023, 2024 to build a platform build those relationships. In the in in this case, it was this kind of pullback is is is okay with the partner.
Gal Krubiner: So a, it's a good question. B, it exactly what we told you that in 2022, it's a different situation. Yeah. Okay. And c, the answer is no. They appreciate that. From them, you know, 15% growth in the midpoint and a stronger Pagaya Technologies Ltd. is much better than 20, 25% growth. But then in three months, six months, nine months, we take it down all that. So stability is key for the actual gross number.
Hal Ghosh: Yeah. That makes sense. Thank you.
Operator: Our next question is from Rayna Kumar with Oppenheimer and Company. Please proceed.
Rayna Kumar: Good morning. Thanks for taking my question. Could you just talk about like where you started to pull back? Like, was it a particular asset class, or was the actual taken across the board?
Evangelos Perros: Hi, Reyna. It's primarily across like the entire portfolio. With a little bit more focus on the personal and auto side, because of the secular growth that we see in POS. And that was obviously the later part of the quarter, And, effectively, that's why you see that sort of as an exit rate change into 2026.
Rayna Kumar: Understood. That's helpful. And then, just on your target four to 5%, FRLPC margin for '26, obviously, it's a very, wide, range that, you highlighted earlier. Can you just talk about, like, you know, how much conservatism is baked in at the low end and like, what are the puts and takes to get from the bottom to the top? And then if I can just sneak in one modeling question, if you can just tell us your assumption for 26 gap tax rate. Thank you.
Evangelos Perros: Yeah. So as we have said before, as it relates to FRPC rate, appreciate obviously that is a wide range and we look to narrow that down going forward at some point. But ultimately, the way to think about think focus on FR LPC in dollar terms. So the more volume you get from your partners and newer products that come in at a lower rate, you may see sort of dilutive impact on the actual rate, but still coming in at higher volumes and therefore higher dollars, at the top line. And then vice versa, if there is potentially, let's call it, the slow run when you think about the mix of the portfolio, If you see a slow ramp for the new product, new partners, you may end up with call it, the low range of the of the rate of the guidance on volume, but obviously achieving a relatively higher FRPC. That's how a little bit how to think about that across the board. So it shouldn't materially change sort of the key dollar amounts. All the, on the, tax rate question, generally speaking, I would point to call it a 20% type of, tax rate. But, obviously, there's a lot of moving parts there because, obviously, the business is coming out from a period where it was two years ago losing money now into getting to capital and profitability. But that's what I would assume for, going forward.
Rayna Kumar: Thanks for the color.
Operator: Our next question is from David Scharf with Citizens Capital Markets. Please proceed.
David Scharf: Hi, good morning. Thanks for taking my questions. Maybe just to sort of dive in a little more to Hal's question and and perhaps what your kind of behavior you're you're seeing from lending partners. You know, that this was you know, so far, an earning season where a lot of lenders you know, pretty much said, things are stable. There are no certainly no rush to widen their credit boxes, but there there certainly weren't indications that things were tightening either. You know, just just so we understand, did you start to see by the end of the quarter you know, more evidence of of turndowns, of of loan application by your partners that may have been approved by your partners six months earlier? Is that how we should sort of interpret the behavioral changes you're seeing?
Gal Krubiner: I think the best way to look on it is many more expansion that were in play. Or in plan became not in play. So it's not to say that people are not saying, hey, we are going to continue to grow, but it has been shifted much more towards how do we do more asset classes, how do we get more to our customers rather than oh, the pricing are high and just wanna make it more aggressive. Or the losses are too low, and therefore, we're approve more type of population. So you definitely see a difference And and by the way, I think you will see on the gross numbers of all of the reporting companies. We talked about that the growth going forward from top line is not what it used to be. Last year, especially on the personal loan and other side of the business.
David Scharf: Got it. No. That that's helpful. I mean, obviously, you're as you noted, your your business is in a unique position to kinda see the activities of multiple lenders as opposed to just observing your own portfolio. So that that's helpful. And then just as a follow-up, should we think about maybe the recalibration on credit extending to in reducing tail risk, does that extend to how you approach your discretionary investing in securities in addition to originations or loan approvals?
Evangelos Perros: Dave. This CP. No, I think these are two different aspects, right, two sides of the network. One doesn't necessarily tie to the other.
David Scharf: Got it. Understood. Thank you.
Operator: We have reached the end of our question and answer session. I would like to turn the conference back over to Gal for closing remarks.
Gal Krubiner: So I want to thank everyone for joining us today. As you can tell, our results demonstrate the power of the B2B2C model we have worked so hard to build at Pagaya Technologies Ltd. Increasingly diversified growth, with an underlinking focus on disciplined underwriting along with a growing list of partners and funding mechanism that keeps evolving, and improving. I look forward for 2026 and to share journey with you as we grow Pagaya Technologies Ltd. to a key partner for all US consumer lending solutions, continuingly optimizing our product suite value proposition to maximize the value we provide to our partners. We remain laser focused on the long-term potential of Pagaya Technologies Ltd. as we penetrate this enormous market opportunity a market that we created and that we lead. Thank you very much for your time today.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.